Operator: Good day, ladies and gentlemen, and welcome to the Papa John's Fourth Quarter and Full Year 2015 Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, today's conference is being recorded. I would like to introduce your host for today's conference, Mr. Lance Tucker, Chief Financial Officer. Sir, please go ahead.
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Thank you, Michelle, and good morning, everyone. Joining me on the call today are our Founder, Chairman and CEO, John Schnatter; our President and COO, Steve Ritchie; as well as other members of our senior management team. After the financial update, John and Steve will have comments about the business and the management team will then be available for Q&A. Our discussion today will contain forward-looking statements that involve risks related to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings press release, and to the risk factors included in our SEC filings. And all statements made on this call are as of today. Please refer to our earnings press release and the Investor Relations section of our website for a reconciliation and other disclosures related to our discussion of non-GAAP financial measures on this call. Unless otherwise noted, all comparisons are versus the comparable periods from a year ago. This call is being taped, and a replay will be available for a limited time on our website and in downloadable podcast format. Now, onto a discussion of our fourth quarter results: EPS in the fourth quarter was $0.62, and 2015 adjusted EPS was $2.09, both up 19% over the prior year. These results were driven by a good domestic and international comp sales growth, favorable commodity trends and strong net unit openings. As expected, fourth quarter revenues were down slightly versus the prior year, as higher revenues from comp sale increases of 1.9% for North America and 5.3% for international were offset by lower FOCUS equipment sales and lower cheese block prices, which reduced PJ Food Service revenues. For the full year, revenues were up 2.5% with strong comp sales increases of 4.2% for North America and 6.9% for international, again somewhat reduced by lower FOCUS sales and lower block cheese prices. As a reminder, neither of these items significantly impact profitability. We opened 107 net global units in the fourth quarter, with 80 net international openings and 27 net North America openings. We opened 230 net global units in 2015 with 182 net international openings and 48 net North America openings. On a business segment basis, operating income for domestic company-owned restaurants increased $6.4 million in the fourth quarter, due mainly to 3.4% comparable sales increases, lower commodity costs and reduced non-owned auto insurance costs. Operating income for the North America franchising segment was up $1.2 million in the fourth quarter, due primarily to comparable sales of 1.3%, increased units and lower royalty incentives. Operating income for our domestic commissary segment decreased by approximately $1.1 million in the fourth quarter due to lower margins. This decrease was expected as we manage our commissary profitability on a full year basis. Fourth quarter operating results for our international segment increased approximately $900,000, due primarily to 5.3% comps, a higher number of units opened on a year-over-year basis, and improved China results as a result of reduced depreciation from held for sale accounting. Foreign currency exchange rates negatively impacted the results by approximately $600,000. Of note, for the full year, international results increased by $3.6 million despite foreign currency exchange rates negatively impacting our results by $2.8 million. Our unallocated corporate expenses increased $1.2 million in the fourth quarter, due primarily to higher health insurance and incentive-based compensation costs. Our effective tax rate was 32.5% in the fourth quarter, up 1.5% from 2014. For the full year, the rate was 31.2%, down 80 basis points versus the prior year. Our effective income tax rate may fluctuate from quarter to quarter for various reasons. The full year rate in 2015 includes higher benefits from various tax deductions and credits. We repurchased $40 million of stock during the fourth quarter and $120 million for the full year. We currently have approximately $167 million of remaining share repurchase authorization. Our free cash flow, a non-GAAP measure we define as cash flow from operations less capital expenditures, was approximately $121 million in 2015, up $47 million versus the prior year, on the strength of increased operating income and favorable working capital changes. Our net debt position, defined as total debt less cash and cash equivalents, was approximately $235 million at year-end. So to sum up, 2015 was another strong year with 19% adjusted EPS growth, excellent full-year (5:58) comps, and significant net unit openings. Briefly switching gears, we also announced our 2016 guidance, highlights of which include the following: diluted earnings per share of $2.30 to $2.40, which includes several cents of negative foreign currency exchange; North America full-year comparable sales growth of 2% to 4%; international full-year comparable sales growth of 5% to 7%; consolidated revenues growth of 4% to 6%; and 180 to 210 net global unit openings, substantially all of which are expected to open in the final three quarters of the year. For all of our guidance items, please refer to the press release issued last night. Now I'd like to turn the call over to our Founder, Chairman, and CEO, John Schnatter. John?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Hey, thanks, Lance, and good morning, everyone. Thanks for joining us on the call today as we discuss our fourth quarter 2015 results. I'm energized to see our Q4 results reflect good domestic and global comp sales growth, and strong net unit openings. 2015 marked our 12th consecutive year of positive, or even comp sales, a big accomplishment in this very competitive category. A few highlights for the quarter include the following: through effective leadership and a focus on the principle of constant improvement, we delivered another quarter and year of considerable growth respectively, EPS in the fourth quarter was $0.62, up 19%, and we grew adjusted EPS 19% in 2015. The last five years compounded EPS growth has averaged 18%. Our brand and underlying quality continues to become more recognized and more respected globally. Our strong net international unit openings and strong comp sales growth are a testament to the strength of our global brand. Now none of this financial momentum would be possible, however, without our continuing commitment to delivering the best possible pizza. Our exceptional people are our biggest strength. Our success depends on a belief in better, from better ingredients to a better baking process, to even a better box, we are prepared to pay more to deliver better. But instead of hurting our bottom line, we've been rewarded for it with 19% EPS growth in 2015. With this in mind, I would like to take a moment to reflect on how 2015 was a pivotal year for us, as we demonstrated our passion for quality and our products with our clean label initiative. We kicked off 2015 by announcing our Better Ingredients, Better Pizza clean label initiative on January 1, headed by Sean Muldoon. We've always had better ingredients and we always will. We affirm that quality is our foundation and is our distinction, and posted our Better Ingredients, Better Pizza videos at papajohns.com so our consumers could find out more information about what goes into our products, and into our pizzas. In mid-July, we introduced Papa's Lighter Choices menu offerings, and our Online Nutrition Calculator, which provides a dynamic resource to enable customers to make smarter choices which fit their lifestyle. In mid-December, we were the first national pizza chain to announce that our grilled chicken pizza toppings and chicken poppers will consist of poultry that is raised without human and/or animal antibiotics, as well as fed with a 100% vegetarian diet, by summer 2016. We've started the new year becoming the first national pizza chain to announce that we have removed artificial flavors and synthetic colors from our entire food menu. This includes all pizza ingredients, pizza toppings, dessert items and sauce selections. In 2015, we backed up our commitments with action. Remember, you can't make good wine from bad grapes. We invest in better ingredients and our customers take notice. We're delivering on our promise, and we're not done yet. Papa John's has always set the gold standard for quality pizza ingredients. Earlier this month, we introduced a Quality Guarantee to underscore our commitment to delivering quality pizzas to our customers. Papa John's is guaranteeing you will love your pizza, but if you don't, simply tell us why and get another one absolutely free. The Quality Guarantee is the latest milestone in our company's journey towards better that started more than three decades ago when we opened our first Papa John's in the back of Daddy's bar in the broom closet. Again, Better Ingredients, Better Pizza isn't just a slogan. It's our way of life. Quality isn't a limited-time offer, it's our legacy. Through our commitment to better, we will grow our brand, enhance our quality, boost our sales, and earn our customers' loyalty one customer at a time. To wrap up, I'm excited to finish the year strong and carry the momentum into 2016. Indeed, good things lie ahead for Papa John's. With that, I'll turn it over to Steve Richie for his remarks.
Steve M. Ritchie - President & Chief Operating Officer: All right. Thank you, John, and good morning, everyone. I'd like to start by congratulating our franchisees and operators around the world for delivering another outstanding year for the Papa John's brand. We once again produced solid results, while maintaining our commitment to our customer-first strategy, driven by our team member-first approach. I am extremely pleased with the long-term consistency of our annual sales growth, delivering 4.2% comps in 2015 with two-year comps of 11% and three-year comps of over 15%. Our 2016 comp guidance of 2% to 4% affirms we will deliver another consecutive year of strong sales growth. In fact, the fourth quarter marked our 21st consecutive quarter of positive comp sales in the U.S., demonstrating the continued strength of the brand. Our unwavering focus on high-quality ingredients, operational excellence, and a deep bench of talent are enhancing the customer experience and producing consistent results quarter-after-quarter. On that note, the 2015 American Customer Satisfaction Index gave Papa John's the top spot, a reflection of our unrelenting dedication to quality. As a result of these efforts, our franchise and corporate restaurants produced record store-level profitability in 2015. In the fourth quarter, lower commodities likely contributed to slightly more significantly discounted pricing across the category. While we picked our spots with a few promotional offers, Papa John's maintained our focus of being the superior-quality pizza provider with the higher perceived value, featuring three premium LTOs at $12 each during the quarter. As John mentioned, in February, we implemented our Quality Guarantee to underscore our commitment to delivering quality pizzas to customers. Papa John's is guaranteeing you will love your pizza, but if you don't, simply tell us why and get another absolutely free. We didn't need to implement a Quality Guarantee, but if we want to live by our commitment to provide better ingredients and better pizza, we have to be able to back it up. We're happy with the initial results, and our customers are as well. Speaking of quality ingredients, I'd like to recognize someone who has been integral to developing and implementing our gold standard for ingredients in our Clean Label effort, Sean Muldoon. As mentioned in our press release on Monday, Sean has been promoted to Chief Ingredient Officer. Under Sean's leadership, we have developed a gold standard for ingredients, as well as one of the cleanest pizza ingredient labels among top national pizza chains. Sean and his team strive to give our customers the best ingredients and the best pizza possible. His efforts exemplify Papa John's continued efforts to deliver high-quality ingredients sourced from ethical, dedicated suppliers. Sean is a prime example of this philosophy of our culture. We believe in hiring great people, rewarding and empowering them, and tapping them to their entrepreneurial spirit to drive success and create opportunities. On the development side, we opened 107 net global units in the fourth quarter, with 80 net International openings and 27 net North American openings. We opened 230 net global units in 2015 with 182 net International openings and 48 net North America openings. In the past few weeks, we opened our first restaurant in Israel, and announced the signing of a development agreement to open over 100 restaurants in Madrid and the surrounding area. The entry into Spain continues Papa John's strategy of business development throughout Europe. Papa John's International has over 300 restaurants in the UK, and has recently announced plans to open in northeastern France. Later this summer, we anticipate opening our 5,000th store globally. Turning to technology, in 2015, we unveiled several digital innovations to improve our customer experience. We completely redesigned our website, and are now one of the only brands in the category with a fully responsive site. In addition, we redesigned our iOS app and have significantly improved our rating among users and against the competition. We have more orders coming from mobile than ever before. And we relaunched our Papa Rewards loyalty program with new redemption options, including side items to add value and variety for all of our customers. We are still the only national pizza chain with e-commerce help desk and extended this service to social channels as well. Our overall digital sales mix surpassed 50% in 2015, and continues to grow at a very healthy rate. To sum up, another strong quarter is in the books, and a strong close to 2015 with 19% adjusted EPS growth and significant net unit openings, in spite of currency translation headwinds, and we remain well-positioned to continue our momentum into 2016. Our brand strategy is on track to produce another year of exceptional sales and profit growth for both our franchise and corporate restaurants. With that, I'll turn it back over to Lance.
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Michelle, I believe we're ready for questions.
Operator: Thank you. Our first question comes from the line of Alexander Slagle with Jefferies. Your line is open. Please go ahead.
Alexander Russell Slagle - Jefferies LLC: Hey. Thanks. And congrats on your 2015 results. A question on the development, and maybe you could talk a bit more about the guidance for fewer net new units in 2016, and perhaps thoughts on your franchisees' appetite for growth?
Steve M. Ritchie - President & Chief Operating Officer: Yeah, Alex. It's Steve. Thanks for the question. First off, I'd just say the unit economics and really the brand perception around the world remain extremely strong. We're really pleased with our 230 net unit openings globally last year. And I would just break this down a little bit for 2016 to explain some of the changes. So, in 2015, we had 26 conversion units in our International business. We have no similar conversions planned for that in 2016. I think the key thing to focus on is the acceleration and pace of the growth in some of our key markets, fast approaching 400 stores in the UK, fast approaching 400 stores in the region of Latin America, and fast approaching over 100 stores in Russia, still focusing on some challenges throughout Asia. But really if you back out those conversions, that's really kind of the clear explanation of some of the slowdown you see in the guidance.
Alexander Russell Slagle - Jefferies LLC: That makes sense. And maybe you could reconcile also the average weekly sales metrics that we see in the 10-K. Just seems like they've been slowing in recent quarters more so than your same-store sales. If you could provide some perspective on why we might be seeing that?
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Alex, this is Lance. I'll start with that one and let somebody else jump in, if they'd like to. I presume you're talking about the non-comp units that we see in our 10-K. And a lot of those numbers include non-traditional units. Those PSAs can jump around a bit based on how many non-trads we have, where those non-traditional units are located. So unfortunately, it's a little bit hard to segregate out the new from the non-comp from the data that we've given you. Although I would tell you, though, that the new units, we really have not seen a decrease in our new unit PSAs. It's the non-comps that are making that – the non-traditionals that are making that number look funny to you.
Alexander Russell Slagle - Jefferies LLC: Great. That makes sense. Thank you.
Operator: Thank you. And our next question comes from the line of Alton Stump with Longbow Research. Your line is open. Please go ahead.
Alton K. Stump - Longbow Research LLC: Thank you. Good morning. Great job on the quarter.
Steve M. Ritchie - President & Chief Operating Officer: Thanks, Alton.
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Thanks, Alton.
Alton K. Stump - Longbow Research LLC: Actually I ask about this, what has been sort of a lot of hype, like somewhat media driven about a price war in pizza category, even your year-to-date. Yet as you probably know, one of your major peers is saying that they're not really seeing – please touch on – I know you mentioned, John, that you saw overall competition pick up, I think you said slightly in the fourth quarter. Any read on how things have gone as you look at the overall competitive environment so far year-to-date?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Well, I'll handle part of the question and then turn it over to Steve, Alton. One of our largest competitors last year, Q4 and Q1 kind of got way off the strategy. And I think they got a little bit better on strategy this year. So I think we felt the benefits of it in a year ago. And I think we feel a little bit of the other way this year. But really if you go back 10, 15, 20 years, it's always been really competitive. And I think it will always be a really competitive category. So I feel like our job is to differentiate ourselves by owning that quality position, because at the end of the day I think the consumer can really tell the difference between a quality product and a mediocre product. Steve?
Steve M. Ritchie - President & Chief Operating Officer: Yeah, John. It's Steve, Alton. I'll just add a couple more comments here too as well. So I think the important thing for our brand is price is what you pay, value is what you receive. Papa John's is the brand that clearly has the highest perceived value. So you look at our business, we don't manage the business quarter-to-quarter, we manage the business long term. In fact, we look at the business day-to-day and those daily decisions drive our annual business. And that's clearly noted by we are the only brand who has had 12 consecutive years of even or positive sales. No other brand in the pizza category can say that. If you look at our fourth quarter, yes, a little bit lighter in terms of the trend that you saw in the previous quarters in the year. But if you look at our – back to the long term, if you look at our three-year comps, they are over 15%, as I alluded to that on the three-year full year comps of 15%. We did see, as John alluded to, some slightly heavier discounting towards the tail end of the fourth quarter. Those things are going to play some factors in our business, but we are going to stay very focused on what our brand represents in that higher perceived value and believe we can deliver our 13th consecutive year and hit that 2% to 4% comp guidance.
Alton K. Stump - Longbow Research LLC: Helpful. Thanks, guys. And then just, as I look at store growth, obviously, most of the focus is on International platform and it certainly makes sense why that's the case. But as you look at the U.S., is there a couple of pockets or regions that you feel like whether it's next year or two, or over the next five, 10 years that you could add out more stores than what you have currently, either company-owned or franchised?
Steve M. Ritchie - President & Chief Operating Officer: Are you speaking to the U.S., Alton?
Alton K. Stump - Longbow Research LLC: Yes.
Steve M. Ritchie - President & Chief Operating Officer: I think – and we've talked about this in the past. I think we have targeted that 4,000 total units in the U.S. The opportunity to go beyond 4,000 units is there. That would be non-traditional opportunities. You look at that in addition to – as our average unit volumes continue to grow, as you can see the three-year clip at a 15% combined comp, you get to the point of where we start carving up some trade areas, and one store becomes two stores in very high volume zones. We have not targeted that because that's more on the long-term side. But as you alluded to, five years out, that certainly is a possibility to get over that 4,000 number in the U.S.
Alton K. Stump - Longbow Research LLC: Great. And then just one last one and I'll hop back in the queue here. I think last quarter, Lance, you mentioned obviously you guys had some insurance cost issues pop up in 2015. I think you said that in your view that 2016 was going to be a flattish impact as compared to 2015 on the insurance cost front. Is that still your view or is there any opportunity for any potential tailwind there?
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: That is still our view, Alton. We expect insurance costs to remain at roughly the same level, even be maybe just slightly elevated over 2015, and that's all incorporated into our guidance. I think the one thing you may see is, hopefully you'll see it, we're certainly planning it for it to – the total insurance costs to be more evenly spread between quarters. Now, if we were to have something spring up on us again, that would obviously hit in one quarter, but the plan would be for the number to be very similar to last year and to be pretty evenly disbursed among quarters, based on what we know today.
Alton K. Stump - Longbow Research LLC: Got it. Great. Thanks, guys.
Operator: Thank you. And our next question comes from the line of Chris O'Cull with KeyBanc. Your line is open. Please go ahead.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Great. Thanks. I just had a couple of follow-ups from some of the earlier questions. Lance, given the comp guidance is ahead of the fourth quarter results, should we assume that the trends improved here recently or are you expecting it to improve during the course of the year?
Steve M. Ritchie - President & Chief Operating Officer: Chris, it's Steve. I'll start with that and Lance might chime in on that. I think, as I alluded to before, we're not going to manage business quarter-to-quarter, we look at this thing day-to-day, and we're always going to look at the business on an annual basis, because that's more long-term for us. Confidently affirming our 2% to 4% guidance for the full year, things are going to bounce around. Clearly, you can look at the first quarter and it's remained extremely competitive in terms of pricing, driven by the commodity environment that's been very favorable, not only within the pizza category with lower cheese prices, but very favorable commodities in the hamburger market with low beef prices. So share of stomach is going to be a challenge out there, but we feel very confident in our full year guidance.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay. Fair enough. And just the current promotion that you guys are running the large pie with five toppings for $9.99. I mean, it reminds me of the Any Pie promotion that ran several years ago for $10. Am I missing something, though, with the promotional construct where it's actually a higher ticket or does the current environment really require you guys to be aggressive with an offer like that?
Steve M. Ritchie - President & Chief Operating Officer: Hey, good question, Chris. It's Steve again. So I think the design and layout of the strategy behind the $9.99 promotion was directly aligned with our Quality Guarantee. Our Quality Guarantee was implemented to really drive new customers from other brands to try the Papa John's high quality product, to really get a higher conversion on the new customer side. It's different from the Any (25:20) promotions that we have done historically where those were inclusive of all pizzas, including specialties. So the $9.99 offering a great value and a great choice, but excluding the specialty pizzas.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Yeah. Okay. That makes sense. And then, John, I know – or, Steve, I know that franchisees are always focused on improving FLM margin and sometimes, I guess, at the expense of trying to grow sales. Has there been any discussion about providing franchisees with incentives to grow sales at existing units?
Steve M. Ritchie - President & Chief Operating Officer: Yeah, Chris. I think that – good question. And as you may well know, we've used incentives historically. And we always align those incentives for driving the top line. We know market share gains are the number one priority for our brand, still being – we're the younger of the top four chains. We know that our runway is clearly much longer than the other chains. And the route to that light at the end of the tunnel is certainly by driving top line sales. So we continue to pick our spots on how we view incentives and in 2016 we'll also be taking consideration for using incentives to drive top line sales.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Chris, this is John. As you know, we look at the restaurant manager as the center of the universe. Our corporate profits have doubled and getting ready to triple over four or five years ago. Triple. That's a really good thing because the more profit that comes from the restaurants, the more the manager makes, the more the assistant manager makes, the more the drivers make. So it's a win, win, win, win, win. But Steve and Evan and the team have almost tripled corporate profitability at the restaurant level.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Why not provide some similar incentives to the franchisees or even their store managers to try to create that incentive to grow the sales dollars rather than the margin percent?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: I'll take a shot at that and then, Steve, you can kind of jump in. I don't think the franchisees quite have the same mindset of growing the top line and making sure that manager makes a healthy bonus, as we do. I don't say that they don't have it at all, but the tendency in the past – and this took us probably three or four years to get the system out of this habit, is they would look at FLM and we would look at profit after FLM. And I can honestly say they are coming around. And we're trying to lead by example. And the fact that our corporate stores are making a lot of money does I think lead them and helps guide them to a better way to run the business. But when you look at profit after FLM, you're looking at the business two or three or four years down the road. And that's what we did four or five years ago and we're bearing fruit. When you look at FLM, you're squeezing costs every day. And this is a top line gain. Steve?
Steve M. Ritchie - President & Chief Operating Officer: Yeah, John. I would just add that I'm pretty proud of the franchisees over the last five years. You look at the last five years, Chris, of the franchisees' performance and compare that to the previous five years, the franchisees have gotten educated in understanding that priority number one is growing profitable transactions. And they've done quite well. This is why, frankly, we like owning corporate restaurants, because our performance has been so good that we share those best practices and get them to implement those same strategies. We know that taking care of the general manager, which is the most important position in our company, because they're the ones that control the destiny of success, we've shared with them our incentive programs that, as John alluded to, are really the primary psychological driver of what a GM is focused on in driving that top line. And many of our franchisees outperform our corporate restaurants. In fact, our top 20% of franchise restaurants outperform our corporate business. So it's just all about continuing to build on that momentum that we have.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Chris, just to give you another example, Shane Hutchins is in here that runs our PJ Food Service, our distribution division. And this past quarter we picked out one of our commissaries, and we went to the employees, from the folks that do the dough balls to make the dough, to load the trucks, to drive the trucks, said if you're more accurate, more on time, we'll split the profits with you. And we paid out over $60,000 in Q4 to one commissary. I'll let Shane jump in here, but see, I like that. I like incentives. I like the folks that do the heavy lifting to make a bonus because then they perform better.
R. Shane Hutchins - Senior Vice President, PJ Food Service, Papa John's International, Inc.: Yeah. This is Shane, John. Exactly right. And I go back to win-win. That's the way we manage the business. We're tinkering with incentive plans quite a bit because we are trying to drive results. So we test a lot of different things throughout the year. When they work, we replicate them, which is exactly the plan here. We really like what we saw. The team members loved it. It drove exactly what we all wanted. And now we're looking to replicate that through all 10 centers in the U.S. in 2016.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Thanks, guys.
Operator: Thank you. And our next question comes from the line of Peter Saleh with BTIG. Your line is open. Please go ahead.
Peter Saleh - BTIG LLC: Great. Thanks. I just wanted to ask, in your conversations I guess with the franchisees, how do they feel about, I guess, the decision not to discount aggressively, not to match or at least come down to some of the price points in the industry during the fourth quarter? Do you feel like they would agree that this was the right decision not to discount a little bit more aggressively?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Well, Peter, this is John. There's always dynamic tension between franchisees and corporate on how to price the products because, different parts of the country you can get more for the product, different parts of the country you get less. With that being said, I don't know if it's just the success we're having or Steve's leadership, but the relationship with our franchisees is probably more collaborative than it's been since maybe in the early 1990s when we were just getting started. So it is collaborative. Now, we do challenge each other's judgment. And it is at times a little tense, because if somebody gets locked in on a $12 price point and somebody else is locked in on a $9, there is some tension there, but we seem to be able to work through it in pretty smooth way.
Steve M. Ritchie - President & Chief Operating Officer: Yeah. John, I would just add. Peter, it's Steve. So, I think a couple of unique things about the Papa John's brand that might contrast to some of our competitors is from a national to a local. So we provide a significant amount of flexibility with the local marketing spend, so they can choose and pick their spots, to John's point. In California, clearly, we can command a higher price point than maybe we can here in Louisville, Kentucky. So, that level of flexibility from a media standpoint on TV to their digital flexibility, provides the franchisees the opportunity to what they have to do to compete and win.
Peter Saleh - BTIG LLC: Got it. And then, just on general industry big picture. Are you still seeing or are we seeing the closures of some of the independent, some of the smaller chains? Is that still ongoing in the industry, or has the decline in the cheese prices really, I guess helped some of these guys stay in business a little bit longer?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: This is John. I think there's no doubt the lower cheese price has helped us all. I think it's fair to say that the independents and the regionals are still shrinking somewhat, but there's two types of independents and regionals. There's independents that make a high-quality pizza, we actually think they're doing quite well. And there's independents that sell on-price, we think those folks are the ones that are getting hurt.
Peter Saleh - BTIG LLC: Got it. And then, Lance, just real quick on the unit growth commentary, or just the average weekly sales volumes. Has the mix of the non-traditional units, has that been increasing for the past couple of years, or has that been staying the same?
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Peter, it's been going up just a little bit, the non-trad side of it. I don't have the exact numbers in front of me as far as the exact mixes, but they have been going up a little bit on the non-trad side.
Peter Saleh - BTIG LLC: Got it. Great. And then just last question from me. I saw you guys rolled out the Brookie. Should we think of that as really incremental given you have similar items on your menu already? Is that something that could drive incremental check? Or is that going to cannibalize some of the other sales of some of the other desserts on the menu?
Steve M. Ritchie - President & Chief Operating Officer: Yeah. Peter, it's Steve. I'll answer that one. So, a little bit of both. There is a level of incrementality that we expected with the introduction of the Brookie, but we did also anticipate a slight cannibalization of the existing dessert. But the way we look at it is the overall mix and we did see and experienced overall mix, incremental mixes in our dessert line as we experienced in some of the sides we've added over the last couple of years. The overall incremental mix continues to gain, which is we like driving ticket through product mix, not ticket through price increases. So that's worked quite well for us.
Peter Saleh - BTIG LLC: Excellent. And then I just have actually one more. Cheese contracted for 2016, are you guys, at least on the company side, are you predominately locked up? Or do you have a lot floating still for 2016?
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Peter, it's Lance. We're kind of following our normal procedure, which means we do in fact have some locked up for 2016 in similar amounts to what we've seen in the prior years.
Peter Saleh - BTIG LLC: Excellent. Thank you very much.
Operator: Our next question comes from the line of Mark Smith with Feltl & Company. Your line is open. Please go ahead.
Mark E. Smith - Feltl & Co.: Hey. Good morning, guys. First off and sorry if I missed this, can you give us an update on acquisitions of franchisees, kind of what you still expect here in the first half of the year? And any change in kind of your strategy?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Mark, I'll start with that and let Steve jump in if he needs to. So, we did have a 19 store acquisition that we closed on in the first quarter of some stores down in Florida. They were a good fit with our current corporate base. And so we will be opportunistic, as we always are, around markets. There's no long-term strategy change, though. We still expect to be in the 20% range for corporate. As markets make sense for us to buy or sell, we'll evaluate those, but no significant changes in strategy and nothing else really going on in the pipeline right now.
Steve M. Ritchie - President & Chief Operating Officer: Mark, it's Steve. The only thing I would add, which we like this, is we're seeing a lot of excitement from our larger franchisees that are out pursuing to acquire larger markets. Clearly they like our stores, so we get a lot of phone calls from our larger franchisees looking to acquire our business. But as we've alluded to, the success that we've continued to build on our corporate restaurants there's no really change in the way we're looking at this thing for 2016.
Mark E. Smith - Feltl & Co.: Okay. And then second, can you just give us anymore update on the disposition of the Chinese operations?
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Mark, since we're in the middle of that I can't say just a whole lot, but what we will say is we do still expect to have a transaction done this year and we have several interested parties. Beyond that, I can't go any deeper.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Steve, why don't you talk about the gentleman we just put in place? I can tell you, Mark, that we are making progress in that part of the world, not as probably as fast as we'd like, but we are definitely moving the needle.
Steve M. Ritchie - President & Chief Operating Officer: Yeah. Thank you, John, for that. So I'd say two things with that and we're really excited about two additional people to the fold. One, a promotion, so a new member of our executive leadership team, a gentleman by the name of Jack Swaysland is our new Senior Vice President of all of our International business. So, we anticipate a lot of synergies and opportunities to accelerate the overall International business under Jack's leadership. Jack's been with the brand for a number of years and has done great work. He really was the catalyst to driving the success that we've experienced in the UK. So Jack made a decision to hire a new Regional Vice President for our Southeast Asia business, and I think he found a dynamic individual, a gentleman by the name of Marc Helman that has lived in Korea for over 20 years, speaks Mandarin. He is actually American, so from a communication standpoint with the western brand for us, there are lot of benefits, but his experience in the restaurant side of the business gives us a lot of optimism in a region where we've had some challenges that Marc can lead us down the right track.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Well, Mark, this is John. The thing that I'm really digging with Marc, the new Vice President is, I asked him, I said can we do well in this part of the world? He said absolutely. He said the reason we're not doing well is self-inflicted, and that's what I thought. But he knows that part of the world. He knows what we're doing over there. And the reason we're not doing well in the Asian Pacific is because we don't have the right folks in place and the right franchisees. We're going to change that.
Mark E. Smith - Feltl & Co.: Perfect. Then just looking at comp trends here in Q4, primarily on a two-year cumulative basis as we saw some slowing. Was this primarily competition? And if so, was it more so from other pizza players? Or was it more so from QSR value promotions?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Yeah. Mark, I'll let Steve talk a little bit about, there's some wobbles going on here which, even from holidays to weather to what happened, what we did last year, et cetera. But the management team, the executive team at Papa John's has 207 years of experience with Papa John's and the founder; 207 years. So we're pretty steady about how we go about our business. In fact, we're real steady. We wake up every day and we do this. This is what we do. Sometimes we have better results than others, but at the end of the day, we're going to be steady with how we go about this. Now, we know we have to hit our quarter. We know that, because we don't like our shareholders in any way to ever lose, and that's what was a little bit confusing about Q3. We actually had a really good quarter, especially with the insurance claim that we had and some of the foreign currencies. And if you'll remember that time of the year, the stock was at a 39 PE on 2015's guidance. And then when it came back down to 44 on 2016, that was at like an 18 PE. The PE went from 39 down to 18. Well, you can imagine, we don't understand that and we don't like it, by the way. We'd much rather – and maybe the stock got a little bit ahead of itself, but we don't like to see the stock ever go backwards. And we just like to, every day, day in, day out, month in, month out, year in, year out, do a good job for our shareholders. And that's what we've tried to do the last six years. Steve?
Steve M. Ritchie - President & Chief Operating Officer: Yeah. John, thank you. So I think a key thing there is steady as she goes. We're always going to think about the long term, Mark, as I alluded to before. There are a couple of factors that I'll mention, and it's not hard to look at the largest player, and had a little bit of growth in the fourth quarter. You compare that and contrast that to 2014 fourth quarter from the largest player, and had an unsuccessful launch. So I think there are some cyclical nature that happens with the largest player. However, it is a very fragmented category. So I think if you look at the overall nature of how aggressive it became in the fourth quarter, it's a slight impact to some of our comp. But, again, we're always going to be looking at this thing on the full year, having our 12th consecutive year and preparing to have our 13th consecutive year of growth.
Mark E. Smith - Feltl & Co.: Okay. And then last from me. Just if you guys can or want to talk – your promotions around NFL and football, primarily as we looked at Q1, Super Bowl and a pretty good match-up for you guys with Peyton Manning. Is this year about as good as it gets for NFL? Or is there still maybe some upside in promotions that you can do around NFL going forward?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Well, we're renewing our contract with NFL, and we've just about got that completed. The NFL's been a great partner. Peyton's been a great partner. Of course, we signed up J.J. Watt. He was, I think, defensive player of the year for the third straight year. So, we've been pretty good about picking the winners, and just really happy for the Broncos and happy for Peyton and the family to win the Super Bowl. And the Carolina Panthers is a great organization too. Jerry Richardson, who owns the Panthers – by the way, he's the only guy that's ever played, built an empire and bought a team, they're just great people. We partner with them too. So, this year was really good for the NFL. You had two great families, the Richardsons and the Mannings. And it was about as good as it gets, to your point.
Mark E. Smith - Feltl & Co.: Okay. Perfect. Thank you.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Thanks, Mark.
Operator: Thank you. And our next question comes from the line of Kieran McCabe with Sidoti & Company. Your line is open. Please go ahead.
Kieran McCabe - Sidoti & Co. LLC: Yes. I just had a couple of questions on the costs. I was wondering if you could provide any color on what you're seeing in the labor market, labor pressures and how that may be impacting? And then, it seemed like operating expenses were a bit better. Are you seeing any kind of benefit or synergies from some of the technology initiatives that you put through recently, flowing through there?
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Kieran, I'll take this from kind of a macro and let Steve take it in a little bit more detail. We are getting better in every single discipline in the business every day. I mean Shane and his team with the distribution, they just get better. Cynthia and her team in IS, to your point, we get more efficient, we're getting better. Sean Muldoon with -- is now our Chief Ingredient Officer as we talked to earlier, he's getting better. We think we're getting better at sifting through franchisees and good and bad with Tim O'Hern and his team, and I think we are getting better with our openings. So you cannot not get better in this business and survive. So, the mind set of just constantly improving and beating our previous best is something we do every day.
Steve M. Ritchie - President & Chief Operating Officer: Yeah. John, I couldn't agree more. And Kieran, the only thing I'd add, just on the wage question. Clearly, 80% of our stores in the U.S. are franchised, 20% corporate. So our franchisees, there's a lot of volatility from state to state on wage requirements. But, the good thing for Papa John's is – I'll go back to the top line sales growth, the three year combined of 15%, that's how we mitigate those continued cost pressures. And as we continue to grow sales, we do a great job in our corporate restaurants and our franchisees follow suit to reward our team members and well compensate those team members for those results and that performance. It will just be a line item that we'll continue to manage through. To your technology question, we just continue to get better and better in technology, being really, the lead there, being the first national chain to launch online ordering back in 2001 and today be, you know what, over 50% of our orders come in from the digital side of the business and seeing now over 25% of our stores in the U.S. with over 60% online sales mix. We know we're doing the right things to continue to grow it. Our focus is not necessarily on bells and whistles, it's on the customer experience in that transaction path. So our time and our investment and our resources are to improve that experience so that we can get a higher conversion rate through all of our digital channels. So, again, all about the long term for our brand and I think we got the right focus.
Kieran McCabe - Sidoti & Co. LLC: Great. And just one kind of small question in regards to the tax rate guidance. I think it's a little bit lower than what was provided for guidance for 2015. Is that just some of the credits that you saw in the fourth quarter kind of flowing through, or having into 2016 time period?
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Yeah. Kieran, as you probably know, some of those tax benefits kind of come and go, so that's just our best estimate right now of where we think the tax rate is going to be, not – it'll be pretty much in line with 2015, maybe up a smidge. And so that's just, this early in the year it's a little hard to get more precise than that.
Kieran McCabe - Sidoti & Co. LLC: Okay. That's fine. Great. Thank you so much.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Thank you.
Steve M. Ritchie - President & Chief Operating Officer: Thank you, Kieran.
Operator: Thank you. And I am showing no further questions at this time, and I would like to turn the conference back over to Mr. Lance Tucker for any closing remarks.
Lance F. Tucker - Senior Vice President, Chief Financial Officer, Treasurer & Chief Administrative Officer: Great. Thank you, Michelle, and thanks to everybody for being on the call.
John H. Schnatter - Founder, Chairman & Chief Executive Officer: Thanks, Michelle.
Steve M. Ritchie - President & Chief Operating Officer: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.